Operator: Good day, ladies and gentlemen. And welcome to the Agenus Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today’s conference, Ms. Michelle Linn, Corporate Communication at Agenus. Ma’am, you may begin.
Michelle Linn: Thank you. Welcome to the Agenus third quarter earnings conference call. Before I continue, I would like to remind you that this conference call will contain forward-looking statements, including statements regarding the company’s potential income stream, research and development, and clinical trial activity, the publication of data and potential applications of the company’s technologies, and product candidates towards the prevention and treatment of diseases. These forward-looking statements are subjects to risks and uncertainties that could cause actual results to differ materially. Reference to these risks and uncertainties is made in today’s press release and they are disclosed in more detail in our most recent filings with the U.S. Securities and Exchange Commission. These statements speak only as of the date of this call and Agenus undertakes no obligation to update or revise these statements. All forward-looking statements are expressly qualified in their entirety by this cautionary statement. When evaluating Agenus’ business and securities, investors should give careful consideration to these risks and uncertainties. As a reminder, this call is being recorded for audio broadcast. With me today are Dr. Garo Armen, Chairman and Chief Executive Officer; Dr. Robert Stein, Chief Scientific Officer and Head of R&D; and Evan Ballantyne, our Chief Financial Officer. During this call, Garo will provide a corporate update, Bob will provide an R&D update and then Evan will review our financial results. We will then open up the call for questions. With that, let me turn the call over to Garo.
Dr. Garo Armen: Thank you, Michelle, and welcome to Agenus, and thank you all for joining us this morning. During the third quarter we made notable progress in advancing our programs and important collaborations, we pursued transactions designed to improve the quality and the speed of our drug discovery efforts, and also importantly, we strengthened our balance sheet substantially. The key financial highlights for the quarter was $115 million non-dilutive royalty transaction for our QS-21 vaccine adjuvant that we entered into with an investor group led by Oberland Capital Management. As part of this transaction, we have thus far issued the Oberland Group $100 million principal amount of notes. This instrument entitles the noteholders to receive payments based on royalty that are due to us from our partner GSK sales of malaria and shingles vaccine. These payments will continue until the noteholder’s principal is paid and annually return requirement of approximately 13.5% has been met. Also to be clear, Agenus does not pay cash interest on these notes. Once the notes have been repaid, any remaining royalties will revert back to Agenus. In the event the royalty stream is insufficient to repay all the principals and returns, Agenus is obligated to make a make whole payment equal to only the regional principal amount of the notes less any royalties that have been paid to noteholders. The make whole payments if at all it is triggered would not be due for 12 years. Agenus also has the option to receive an additional $15 million in cash after FDA approval of the shingles vaccine, if the approval occurs no later than June 30, 2018. Also importantly, we can buyback the notes at any time under pre-specified terms. As you are aware, this morning a second large trial of the GSK shingles vaccine was reported and in this trial the efficacy -- very high efficacy of this trial was demonstrated across different patient populations, but most notably also in the over 70 age group. And with that, we believe the potential of this product would be very, very significant, and Dr. Stein will allude to some of the details in just a bit. During the quarter, we also repurchased from Ingalls & Snyder Value Partners and Arthur Koenig their rights to receive 20% of our future royalties from GSK for $20 million in cash plus 300,000 shares of Agenus common stock. We closed on the repurchase from Ingalls immediately prior to closing with the Oberland Group and Ingalls has no further interest in any royalties associated with GSK vaccines containing QS-21. Net of the Ingalls transaction, the Oberland transaction provided us with immediate non-dilutive funding of approximately $78 million, which we can use towards executing our strategic and operational goals, while jumpstarting the flow funds from our anticipated future QS-21 royalty stream. Importantly, however, we are able to retain the potential long-term value of QS-21 franchise for our shareholders, as any remaining royalties revert back to Agenus after all principal and interest on the notes have been paid. We now have the financial flexibility to advance our current therapeutic candidates, while also pursuing complementary and strategic acquisitions consistent with our goal of further strengthening our immuno-oncology platforms. And portfolio in our efforts to deliver high-quality candidates and do it in a speedy fashion and high quality fashion that we think will be important in a highly competitive, but also very exciting immuno-oncology field. In July, we announced the acquisition of Diatheva's anti-CEACAM1 monoclonal antibodies. This acquisition expands and enhances our existing extensive portfolio of immunotherapeutic programs. CEACAM1 overexpressed in solid tumors and antibodies targeting CEACAM1 are thought to have a potential to effectively treat cancer alone or in combination with other checkpoint modulator antibodies, including those in our own development pipeline. CEACAM1 is also the target of the antibody [CM-024] [ph] licensed by Merck from an Israeli company, which occurred shortly after our acquisition of Diatheva’s assets. This transaction along with our purchase of the SECANT yeast display platform from Celexion in April further bolsters Agenus' research capabilities and broadens our capabilities to develop checkpoint modulators, as well as other immunotherapeutics as single agents or in combinations as potentially best-in-class treatments for patients with cancer. With regard to our Prophage or autologous cancer vaccine, since reporting positive Phase 2 data in newly diagnosed glioblastoma patients at ASCO, we continue to see very encouraging long-term survival in a group of patients. Our Chief Financial Officer (sic) [Chief Scientific Officer], Dr. Stein, will elaborate upon this shortly. We continue to explore moving Prophage into pivotal trials and are considering various funding and partnership options and trial designs at this time with the desire of retaining U.S. commercialization rights. We will provide investors with further updates on these considerations at an appropriate time. To be clear, we will not spend moneys from our own balance sheet to further large trials with Prophage. We are considering smaller, very innovative trials mostly in collaboration with other companies that will contribute either cash or potential product combinations, as well as both. In addition to that in closing, I also would like to make it clear that our Oberland transaction is a very creative instrument. And it is a transaction that is good for Oberland and the Oberland Group as well as for Agenus. And that it offers them a very attractive return from a very attractive product line. And it offers us many flexibilities, including not having to pay any cash interest payments, as well as the flexibility to be able to purchase back the asset, should we decide to do so on pre-specified terms. Lastly, I'd also like to stress the point that at this time, we have no plans to do any equity offerings. We look forward to sharing with you further details of our preclinical and clinical progress, our development strategy and our strategic transactions. During our upcoming Analyst Day on November 19th, where we expect to report to you what we believe is significant progress from the last Analyst Day, we held. I would like to turn the call over to Dr. Robert Stein, our Chief Scientific Officer and head of R&D to provide an overview of our recent progress. Bob?
Dr. Robert Stein: Thank you, Garo. Let me begin by updating you on our checkpoint modulator programs. We are moving our six publicly disclosed checkpoint modulator programs forward on schedule. In addition, we’re making solid progress on several additional proprietary checkpoint modulator targets which we have not yet publicly disclosed. We remain on track with prior guidance, developed two INDs for checkpoint modulators by the end of this year and two additional INDs in 2016. We look forward to advancing our first CPMs into Phase1 trials we performed mid year 2016. Our checkpoint modulator collaborations with Merck is also progressing very well as we work together to discover and develop antibodies against two undisclosed Merck checkpoint targets. Remember that these checkpoint targets are distinct from our own checkpoint modulating programs. As recently noted, we have extended this collaboration for another year based on the progress in the collaboration. As Garo noted, in July, we extended our immunomodulatory antibody portfolio by acquiring rights to antibodies targeting Carcinoembryonic Antigen Cell Adhesion Molecule 1 or CEACAM1. CEACAM1 has been shown in preclinical studies to suppress both innate and adaptive immune responses to cancers. And it is overexpressed from the number of human cancers including melanoma and cancers of the bladder, lung, colon, pancreas and stomach. One form of CEACAM1 on tumors interacts with the related form of CEACAM1 overexpressed on many tumors to suppress immune attacks against these tumors. Antibodies like ours targeting CEACAM1 are expected to block this interaction and reverse this immunosuppression, making them effective as monotherapies and also in combination with other checkpoint modulators such as PD-1 antagonists. The CEACAM1 antibody program placed a natural place of our growing portfolio of CPMs as a potential component of future best-in-class therapies for cancer patients. We are growing a very deep and broad CPM portfolio to target in crucial aspects of the battle between immune system enhancer that tip the balance in the favor of the patient. Turning now to Prophage, our heat shock protein based autologous anticancer vaccine, our collaborators with Northwestern reported promising Phase 2 data in newly diagnosed glioblastoma multiforme or GBM at the ASCO meeting in June. Treatment of patients with newly diagnosed GBM with Prophage added to standard of care showed significant longer progression free survival and median overall survival compared to historical data for patients receiving standard-of-care alone. An important finding in this study is that about half the patients show evidence of systemic immunosuppression before they are ever treated. Manifesting this has increased percentage of that peripheral white blood cells overexpressing the checkpoint ligand PDL-1. In patients, who do not show this evidence of immunosuppression when they present, about half the patients, the results when they are vaccinated with Prophage in addition to standard of care are particularly striking. These patients show median progression free survival of over 27 months, which is about three times that are expected from historical data presented at [indiscernible]. Additionally, half of these patients are alive for nearly four years, nearly three times longer than the expected median overall survival. While this is a moderately sized single-arm, open-label study in a tough indication, we're encouraged by the fact that in this half of the patient population, 6 out of 17 patients are alive at almost four years and more after their original tumor reception. Furthermore, five out of these six patients have no evidence of residual cancer. These results strongly suggest that Prophage has improved the outcome when added to standard of care and the 50% of patients with less baseline immunosuppression, measured as less elevated baseline levels of PD-L1 expression on their monocytic white blood cells. Furthermore, these data raise the possibility that these much improved outcomes might be extended to the 50% of patients with more pretreatment immunosuppression, measured as higher baseline monocytes PD-L1 expression if we were to add a CPM that blocks PD-1 or PD-L1 to Prophage plus standard of care. These results support our long-standing belief that patient specific vaccine approaches like Prophage will play an important role in the treatment of cancer, both as monotherapy and in combination with checkpoint modulators. Finally, let me provide a brief update on the QS-21 programs. We were pleased to announce data today from the second successful Phase 3 study of GSK shingles vaccine containing QS-21, involving more than 14,800 adults over 70 years of age. As you may recall, GSK’s first Phase 3 shingle study in adults age 50 and older demonstrated a surprising HZ/su of 97.2% at year and a half to four years. The efficacy for this second Phase 3 study was 90% in the prevention of shingles and 89% in the prevention of post-herpetic neuralgia and patients over 70 years of age had grown virtually susceptible to a condition. This further supports the ability of the vaccine to powerfully control shingles. As Garo mentioned, we have monetized a portion of our future royalties for our GSK partnered QS-21 adjuvant, which is a component of both GSK’s shingles and malaria’s prophylactic vaccines and the non-dilutive transaction while retaining the potential upside over the long-term. Overall, for R&D at Agenus, it has been a strong third quarter. We have continued to strengthen our R&D team, enhanced our immuno-oncology platforms and drive our CPM and vaccine programs while strengthening our balance sheet. Thank you for your attention. I'd now like to turn the call over to Evan Ballantyne.
Evan Ballantyne: Thank you, Bob. I will review the third quarter 2015 financial results. For the third quarter ended the September 30, 2015, Agenus reported a net loss attributable to common stockholders of $13.2 million, or $0.16 per share, basic and diluted, compared to a net loss attributable to common stockholders for the third quarter of 2014 of $8.2 million, or $0.13 per share, basic and diluted. For the nine months ended September 30, 2015, the company reported a net loss attributable to common stockholders of $72.4 million, or $0.95 per share, basic and diluted, compared to a net loss attributable to common stockholders of $16.7 million, or $0.28 per share, basic and diluted, for the nine months ended September 30, 2014. Cash, cash equivalents and short-term investments were $199.1 million as of September 30, 2015. The increase in net loss attributable to common stockholders for the quarter ended September 30, 2015, compared to the net loss attributable to common stockholders for the same period in 2014 and was primarily due to the advancement of our checkpoint modulator programs including $13.2 million charge for the acquisition of the SECANT yeast display platform in addition to other licenses and technology transfer agreements. We also recorded a $14.2 million non-cash expense for the fair value adjustments of our contingent obligations. During the same period in 2014, the company recorded a non-cash non-operating income of $10.7 million related to the fair value adjustment of our contingent obligations. This concludes the financial portion of the call. And I would now like to turn the call over to Garo for closing comments. Garo?
Dr. Garo Armen : Thank you, Evan. Clearly, we are very gratified with the progress we’ve made during this past quarter to advance our pipeline and our collaborations, as well as the strengthening of our balance sheet. Once again, we look forward to sharing further details of our pipeline and collaborations progress, as well as our strategic transactions at our next analyst day, which will be held in New York City on November 19th. We remain committed to developing the next-generation of immunotherapies that will bring relief to those suffering from cancer. We hope that you have found this update informative. And with that operator, you can now open the call for questions.
Operator: [Operator Instructions] And our first question comes from Mike King from JMP Securities. Your line is now open.
Mike King: Good morning, guys. Thanks for taking the question. Just wondering what you might be able to say about doing more informed trials with your checkpoint modulators and perhaps Prophage at some point down the road. You guys are obviously a lot more liquid than you’ve been in the past but these trials are still quite expensive. I don’t know if you’ve got any trick up your sleeves with respect to how to do, how to gain some advantage over the well capitalized pharma partners and large biotech companies to advance your programs in a way that maximizes your capital return? Thank you.
Dr. Garo Armen: Mike, as I alluded to earlier, we will consider and I believe we will be able to execute on clinical trials in collaboration with some of the usual suspects that you are speaking about, big pharma partners that possess some of the complementary combination vehicles that we may be able to do trials with. And we expect that at least some of these trials will be on a cost-sharing basis. So you mentioned that they would be expensive trials but in reality, we believe we can execute on these trials on very-very reasonable terms, particularly if it’s done in collaboration with partners that will contribute both cash as well as their agents. Bob, would you like to elaborate on that?
Dr. Robert Stein: Yeah. Thank you, Garo. And Michael, it’s a good question. Further, there are certain trials that have to be carried out to get to registration. But there are approaches to quickly getting signals about whether we are on the right tract. We have very good immunomonitoring capabilities. We have a very good ability to quickly understand the proper biology in individual patients and use that to seek signals in the smaller and more intensively study settings. So we think that there is an opportunity for us to make very good progress without having to incur full costs and trials that have the traditional endpoints of PFS and meeting overall survival as our only approach. So we are thinking about that very strongly both in our own programs and in our partnerships with market insights. And due to the competitive aspects of the field, we aren’t going to give details of that, but it’s a very important aspect of having a chance to succeed.
Mike King: Thanks, guys.
Operator: And our next question comes from Christopher Marai from Oppenheimer. Your line is now open.
Christopher Marai: Hi. Thanks for taking the questions. Congrats on the quarter. Actually wondering if you could maybe elaborate a little bit on when we expect to see some first data from the checkpoint programs. I know some of them are partnered, but obviously there is some unique programs in your checkpoint platforms, specifically LAG-3 which recent evidence is starting to point to us being up regulated in conjunction with PD-1. So I’m wondering if maybe you could help us understand when we might see some data there. And then following that data, what type of sort of Phase III pathway you expect some of these drugs take, or do you imagine it might take more of the Phase II path not so registrational in the next trial? Thank you.
Dr. Garo Armen: So Chris, how are you? I think those are very good questions. We are planning to be in the clinic with several compounds the first part of next year. We aren’t being incredibly specific about when data will emerge, but the standard Phase I, II trials will take some time to unfold, but in the meantime we can do a fair amount of immunomonitoring to try to understand what we’re seeing. With regard to LAG-3, I think you’re absolutely right that the data pre-clinically support that it is part of T-cell exhaustion and functions in contact with PD-1 activation, and probably the best uses of that are going to be in the combination studies with PD-1 blockade plus TIM-3, and similar remarks could be applied to LAG-3. So we think that the objective there is to get enough single agents, few of the compounds, I know that is safe and understands the potential side effects then to very quickly getting into combination studies where we believe it’s going to have its best impact.
Dr. Robert Stein: And a lot of these studies may not require the traditional very large Phase III studies. I think we can look at Phase II, III designs where a robust signal can be used to drive potential approval on a smaller base study somewhat in the mode of [indiscernible] progression.
Christopher Marai: Okay. That’s helpful. I mean, in terms of thinking about the combination, obviously I alluded to some checkpoint combinations, are there other checkpoint combinations that you guys are imagining and maybe combination with your -- some through your partners assets or additionally in combination with perhaps some of your vaccine assets internal to the company? Thank you.
Dr. Garo Armen: And those are both very good points. We will clearly be interested looking at checkpoint modulators on top of the vaccine interventions. There is a lot of emerging data that suggest core blockade can enhance vaccine activity if you look at prospect plus year void. And there is evidence from our Phase II study with the Prophage the newly diagnosed GBM that suggest that patients respond differently depending on the level of activation of the PDL-1 -- PD-1 access which suggest that blocking PD-1 or PDL-1 might be important on top of the vaccine in a identifiable group of patients. And then the other thing that you raise is our partners have some very interesting compounds, clearly Incyte has a very attractive IDO inhibitor and there is a lot of value in contemplating combining that with various checkpoint interventions. PD-1 is one of them, but some of the other things that we have in collaboration in our own portfolio may also make sense to combine with IDO in addition. So those are obviously discussions ongoing, but we’re not going to say more specific information about that at this point.
Christopher Marai: Okay. Thank you. Congrats on the quarter.
Dr. Garo Armen: Thanks.
Operator: And our next question comes from Jason McCarthy from Maxim. Your line is now open.
Jason McCarthy: Hi, congratulations on a good quarter, really impressed with monetizing the vaccines with GSK. I kind of just want to build on the last couple of questions. In the engineered T cell space, whether it’s TCR or CAR-T, a lot of talk now is focused on movement the way all the tumors and what’s an engineered T-cell versus vaccines and there is a lot of talk about bringing in checkpoint inhibitors or modulators. They are not PD-1, but a movement towards more not as talked about checkpoints and it seems like Agenus has a lot a whole stable of checkpoints so people don’t talk about that often. Have you considered moving towards the CAR-T space and the TCR space, or just are you specifically sticking with using them as single agents or combinations of checkpoints initially?
Dr. Garo Armen: I think you raised very good points, Jason. And it’s clear that in the test of direct CAR-T or TCR based therapies against solid tumors we’re going to have to think about the existing defenses against the tact that maybe present in the tumor. There maybe things like PDL-1 regulation or IDO aberration that might want the ability of those engineered cells to effectively erase tumors and there maybe value and also think about how to drive those activated cells to further activity or to maintain their help by adding in things like GITR or OX40 agonist. They may also be need to recondition the tumor microenvironment so that the effective immunosuppression of the tumor can be or the immunologic control of the tumor can be mediated by these engineered cells. So yeah, we are thinking about that very carefully. But in terms of the vaccines versus engineered cells, it seems very clear that the main target for immune control of tumors is neo-epitopes that aren’t part of the normal bodies podium and therefore are capable devoting high affinity T-cell receptor responses. So, that’s a special vaccination, can actually generate that kind of strong immune response. You might need to use CPMs to shape it for optimal effect and also you want to key down eventually strong central memory against the tumor new antigens so you can prevent resurgence of the tumor. So it maybe that there will be a near-term use of cell-based therapies from the outside of the body and that gives you time to coax into existence the right internal and endogenous immune response to the tumor. So there clearly will be a place for checkpoint modulators both in the cell therapy space and in the vaccine space. And we’re very interested and very close to both of those sorts of activities.
Jason McCarthy: Great. Thank you. Congrats on a great quarter again.
Dr. Garo Armen: Thanks. You asked good question Jason.
Operator: [Operator Instructions] Our next question comes from Matt Phipps from William Blair. Your line is now open.
Matt Phipps: Hi, guys. Thanks for taking my question. At a recent Immunotherapy Conference in New York you guys had a poster there that talked about really developing that new antigen approach that you're just mentioning, Bob, and specifically, sequencing a patient tumor, identifying new antigen through algorithms and developing a peptide vaccine 2 as new antigens? So, I was just wondering how that plays in with your current thoughts that you mentioned about the Prophage Series? Is this something please separate or is it more what you’re considering with those smaller innovative trials?
Dr. Garo Armen: Matt, I think your question is also a very good question. But I think we need to wait until our Research Day to elaborate on our strategies we’ve turning this very point.
Matt Phipps: Fair enough.
Dr. Garo Armen: Along with other developments.
Matt Phipps: Right. Well, we look forward to that.
Operator: And our next question comes from [indiscernible] your line -- from Agenus Capital. Your line is now open. Hi. Good morning. Can you hear me?
Dr. Garo Armen: Yes. I apologize. I was on a conference call last quarter and a CEO had mentioned? I'm not sure if you guys have already discussed, as I kind of jumped on the conference call a little late. When can we see the Prophage partnership coming in?
Dr. Garo Armen: Okay. So we alluded to that a little bit earlier that we -- our plans with regard to Prophage will be involving a potential partner and/or a potential funding source that would be through a non-equity driven funding source and those are still in evaluation. With regard to our trial plans, as we said earlier, at this point we are exploring a number of innovative trials that will be smaller Phase 3 trials in collaboration with potentially other firm or biotech companies that will partner with us, both in terms of their past input as well as potential combination product input. With regard to pivotal trials, those are still in planning and we have not yet disclosed the specificity of how the next steps will be taken. So pleased by beyond the look out and we will elaborate on these plans as they materialize. But suffice it to stay for partnership, we are still exploring the right structure. Are we still on track before year is up?
Dr. Garo Armen: Well, we have not really elucidated on any of those details. I would not commit to a definitive partnership before the year. Okay. Thank you.
Operator: And our next question comes from Swayampakula Ramakanth from H.C. Wainwright. Your line is now open.
Swayampakula Ramakanth: Good morning, gentlemen. Thanks for taking my call. Do you think -- Prophage, I understand, Bob, that the data obviously excellent coming out of that Phase 2 data present at our ASCO. Has there been FDA meeting for end of Phase 2 so that you can start designing the Phase 3?
Dr. Garo Armen: Okay. There was an end of phase 2 meeting in February of 2014 in which the FDA was comfortable with the design. And that time didn’t contemplate the additional parameter around PDL-1 expression of peripheral blood monocytes. We have some correspondents ongoing with the FDA now about how to roll that into the consideration for future product design. And we’ll be able to say more about that at some point in the future when we have something definitive to share.
Swayampakula Ramakanth: And would that -- Garo was alluding to smaller scale studies, so do we need to wait till November 19 to get more details on that or can you say anything to keep our interest up?
Dr. Garo Armen: I think it would be best to give you a coherent overview on the 19th.
Swayampakula Ramakanth: Okay. And the last question, now that there is about $199 million in the balance sheet. What sort of changes is the management thinking, both in clinical and business development wise that you can highlight at this point?
Dr. Garo Armen: Well, let me clearly state that even though we are in a stronger financial position that we have been perhaps ever in the history of the company but certainly in the recent past. This year we will be pretty much on target with our burn rate and that will leave us a healthy amount of cash to contemplate on how to wisely spend our moneys for the course of 2016 and 2017. Now having said that, we have gone through a strategic consideration of what our priorities are and clearly all publicly stated checkpoint programs are a very high priority. We need to deliver on those programs and so far we are very much on track to do so. Secondly, we have not yet discussed in much detail other potentials of our technology and/or technologies and how that may help us to create value. So we are in internal deliberations in prioritizing some of these programs that will consume a very modest amount of cash that will be part of our budgeting process for next year. And yet their potential to create significant value with the appropriate structure will be exciting. So please bear with us as we go through the process of prioritizing some of these programs. We may be able to discuss at least one or two of those items in our upcoming R&D meeting, but there’ll be more beyond that. But to be clear to answer your question very clearly our checkpoint programs are the highest priority followed by innovative smaller trials for Prophage until funding for a partnership is secured for a pivotal trial. And also importantly, some of the other programs that we have underway which would create significant value for the company during the course of 2016.
Swayampakula Ramakanth: Thank you very much. That’s great summary, Garo. One last question for me, with the GSK announcement this morning, obviously the positive data of second study, what else is left for them to do or what other studies are need to be read out still because they also stated that they are not going to be filing till the second half of 2016 that are single risk obligation?
Dr. Garo Armen: So to answer your question to the best of our knowledge there are no other studies that are necessary to potentiate the filing. I’m sure that you're taking into consideration the process they need to go through for final data analysis from both of these trials. They are large trials. But I think it is also reasonable to assume that their timelines are conservative.
Swayampakula Ramakanth: Thank you.
Operator: Our last question comes from George Zavoico from JonesTrading. Your line is now open.
George Zavoico: Hi. Good morning, everyone. Good morning, Garo and Robert, Evan. Yeah, congratulations on non-dilutive financing structure of that deal that puts you, as you say in a very good position. To that point, with all that cash, you are going to have to decide as you say, how do you spend it and what you’ve outlined in the talk and in the Q&A session is a tremendous amount of possibilities here in combination with many different types of agents. Going forward, I imagine you're probably involved them and they have already completed a number of preclinical studies to try and really guide you into which combination and which cancer you might go into. And to that point, do you plan to present pre-clinical study results, which perhaps at CCTC or AACR going forward to perhaps give us some better idea to what the more interesting combination maybe?
Dr. Garo Armen: So for competitive reasons and other reasons, obviously, as you know we are in partnership with some of these checkpoints. We are not at liberty to disclose some of the details, even though I think you make some very good points. We cannot disclose the details of these presentations and timing just yet until it’s publicly made by both parties.
George Zavoico: Okay. I understand.
Evan Ballantyne: Sorry, George. This is something we are paying a lot of attention to because it is important part of shaping our future studies. But we believe it’s more important as a competitive advantage and as a publicly shared severance sites.
George Zavoico: I understand that approach. Thank you very much. I look forward to when you will be able to -- with that some of that data. I’m sure it will be very, very interesting.
Evan Ballantyne: Thank you, George. We will use it to shape our clinical studies.
Operator: And I’m showing no further questions at this time. I’ll now like to turn the call back over to Michelle Linn for any further remarks.
Michelle Linn: Thank you. I would like to remind these listeners that a replay of this call will be available in approximately two hours and will also be accessible from the company’s website at www.agenusbio.com. On behalf of the management team at Agenus, I would like to thank everyone for joining us today. We will be available to receive further inquiries following the conclusion of this call. Operator, you may conclude the call.
Operator: Ladies and gentleman, thank you for participating in today’s conference. This does conclude the program. You may all disconnect. Everyone have a great day.